Operator: Hello and welcome to the Carlisle Company, Inc. Third Quarter Earnings Conference Call. I will now turn the call over to Mr. David Roberts, Chairman and CEO of Carlisle Company.
David A. Roberts - Chairman & Chief Executive Officer: Thank you very much. Good morning and welcome to Carlisle's third quarter 2015 conference call. On the phone with me is our Chief Operating Officer, Chris Koch; our Chief Financial Officer, Steven Ford; our Chief Accounting Officer, Kevin Zdimal; and our Treasurer, Julia Chandler. As we have done the last two quarters, I'll end up reviewing company's overall performance, Chris will review our segment performance, and Steve will review our balance sheet and cash flow statements. As I begin reviewing the third quarter performance, I ask that you turn to Slide 2, titled Forward Looking Statements and the Use of Non-GAAP Financial Measures. This slide details the risk associated with investing in Carlisle. I strongly urge anyone who is considering an investment in our company to read these statements in detail, along with reviewing the financial reports we filed with the SEC before you decide to purchase shares of Carlisle's stock. Turning to Slide 3, you'll find the highlights of the third quarter. Sales grew 7.6% in the quarter, with: LHi contributing 2.9%; and Finishing Brands, which became Fluid Technologies, is contributing 7.5% to our growth. Organically, sales were lower 1%, and FX negatively impacted sales by nearly 2%. At first glance, our organic sales growth would suggest that we've seen a slowing in our key markets, but that isn't the entire case. Other than Brake & Friction, which slowed again in the third quarter, sales activity in our businesses was generally good, and this will become clear once we look at the data for each segment. Continuing with sales, volume was flat at CCM, while sales dollars were down 3% as we defended our pricing position in the marketplace. The 3% decline at CCM included 2% FX impact and reflects how strenuously we defended pricing with our TPO and insulation products. We think the market grew in the low single digits in the quarter, so we possibly lost a small amount of market share as we stood fast on membrane insulation pricing. Despite possibly losing a bit of market share, which will not have an impact on the business long-term, we generated operating margins of 20.3%. These record margins generated EBIT operational earnings of $115.5 million, an all-time high for CCM in any quarter ever. CIT and CFT generated strong growth in the quarter. CIT grew 23%, while volume at CFT grew organically 10%, but factoring in the impact of FX at CFT, our reported growth was 3%. Rounding out the growth was FoodService, which grew 1% in the third quarter. At revenue challenged CBF, which is the one business that didn't grow this quarter, we saw organic revenue decline 16% and after the impact of FX, our CBF revenue was down 21%. The highlight of the quarter was EBIT before interest and taxes, as we grew EBIT 21% and earned $162 million, an all-time record for Carlisle, far surpassing the $148 million record we set at the end of the second quarter this year. EBIT margins are also a record 16.6%. We are seeing the real earnings potential of this business, despite the continued slowing of growth at CBF and our fight to maintain margins at CCM. As this trend continues, we will have to consider resetting our margin goal upwards, perhaps as early as next year. In addition to strong earnings growth, we ended the quarter with $354 million of cash on hand. That's after returning $111 million of capital through dividends and share repurchases to our shareholders so far in 2015. Over the past year, we've been asked by various analysts and PMs to state our margins prior to amortization of intangibles. We feel strongly that stating our margins as EBIT reflects the true cost of making an acquisition, but to allow you make the margin calculation without amortization of acquired intangibles, you can subtract $15 million of expense in the third quarter, which will get you to 18.2% margins compared to 15.9% in the third quarter of 2014. Slide 4 is our third quarter sales bridge. As you review the bridge, you see that price had a negative 160 basis impact on sales. This is the result of some price reduction at CCM, CIT and FoodService. The small amount of reduction to CCM were mainly within our roofing products. At CIT, it was the result of AOC. And at CFS, it wasn't a price reduction, but rather volume rebates. Volume as shown on the bridge was positive 60 basis points. The acquisitions of CFT and LHi contributed 10.4% to growth in the quarter. The acquisitions of LHi anniversaried on October 1, so going forward, we'll have an apples-to-apples comparison at CIT. FX had 180 point negative impact on sales. Dollar-wise, the business most impacted by FX was CCM. Slide 5 is our margin bridge. Price of raw material were positive 220 basis points, with the vast majority of that positive impact at CCM. COS contributed 80 basis points to our EBIT, while acquisitions were a negative 30 basis points. The Other category was 90 basis points negative. That concludes my overall review of the quarter. Chris will now review the performance in the individual business segments.
D. Christian Koch - President & Chief Operating Officer: Thanks, David. Good morning, everyone. Please turn to Slide 6 to begin our review of third quarter 2015 segment performance. We'll begin with Construction Materials. CCM achieved record performance for EBIT and EBIT margin in the third quarter, despite lower sales. CCM's sales decreased 3%, comprised of a 2% negative impact from currency fluctuations and 1% lower organic sales. Selling price declined only 1% in the third quarter, as CCM remained price disciplined despite increased competitive pressure. Sales volume was relatively flat in the third quarter, likely reflecting some ceding of market share to preserve margin, coupled with some moderation in growth in new construction. Labor shortages in the commercial construction market were also a factor in slowing demand. Trends in energy efficiency continued in the quarter, positively impacting insulation sales. CCM's EBIT increased 19% in the third quarter to a record $116 million. CCM's EBIT margin of 20.3% also set a new record. CCM's margin increased 380 basis points from the prior year due to lower raw material cost, price discipline, savings from the Carlisle Operating System and the non-recurrence of plant start-up costs from the prior year. We expect CCM to continue its strong year-over-year margin improvement in the fourth quarter. Sales growth in the quarter is expected to continue to reflect CCM's efforts to maintain selling price. Slide 7 details CIT's performance for the quarter. CIT continued its record pace in 2015 with sales growth of 23% in the third quarter. The acquisition of LHi contributed sales growth of 16%, while CIT achieved strong organic sales growth of 7%. CIT sales into the aerospace market were up 8% on strong demand for in-flight entertainment and connectivity applications, as well as new aircraft programs, an impressive gain considering the reported growth was net of contractual selling price reductions. CIT sales into the military market were up 10%, driven by stronger spending on select programs. Sales for Test & Measurement segment were flat in the third quarter, due to the timing of orders from a large customer. And sales into the industrial market declined 20%; however, industrial sales represent less than 5% of CIT sales. Contribution from the LHi acquisition improved considerably in the third quarter, demonstrating the success of the integration activities and the implementation of the Carlisle Operating System. LHi contributed EBIT of $3.4 million on sales of $25.9 million in the third quarter, an EBIT margin contribution of 13.1%. LHi's EBIT margin of 13.1% includes 650 basis points of acquisition-related amortization expense. LHi's third quarter margin performance was a 480 basis point improvement from the second quarter. CIT achieved an EBIT margin of 20.4% in the quarter, a 22% growth year-over-year, excellent performance considering the effect of lower contractual selling prices in Aerospace and the dilutive impact of the LHi acquisition. Leverage from sales volume growth and efficiencies from the Carlisle Operating System contributed significantly to the 20%-plus margin performance in the quarter. CIT has made significant investments to expand its capabilities and its platform of high technology interconnect products to meet expected market demands. Last year, CIT made a significant expansion into the medical markets through our acquisition of LHi. In quarter one of 2015, we opened a newly-constructed 216,000 square foot manufacturing facility in Nogales, Mexico to meet expected growth in our Aerospace business. We are pleased to announce today that we are continuing to invest in our global manufacturing footprint through the expansion of our existing operations in Dongguan, China. This investment will allow us to capitalize on demand in both the aerospace and medical technology applications and pursue further operating efficiencies. Starting in the fourth quarter of this year, we will proceed with a $13 million investment to expand our manufacturing operations in Dongguan. Of this $13 million, approximately $10 million is capital and $3 million is start-up expense that will be incurred starting in the fourth quarter of 2015 and will be completed in 2016. We remain very optimistic about the opportunities we see in CIT's end markets. On Slide 8, we review the performance of our newest acquisition, Carlisle Fluid Technologies. CFT had sales of $67.9 million and an EBIT margin of 14.9% in the third quarter. CFT's 14.9% EBIT margin includes approximately 630 basis points of intangible amortization expense attributable to the acquisition. On a pro forma basis, which provides a comparison as if Carlisle had owned CFT in both the prior year and current period, CFT sales in the third quarter grew 3% over prior year. CFT sales growth reflects a strong organic sales increase of 10%, offset by 7% negative impact from foreign currency fluctuations. Approximately 60% of CFT sales are to customers outside of the United States, with significant presence in Europe and Asia. CFT's strong organic sales growth of 10% was generated from higher automotive system sales into the Asia-Pacific region, as well as an increased sales in new products. We expect sales volume in the fourth quarter will continue the positive trends we have experienced as we've moved through the second and third quarters of 2015. CFT's EBIT margin of 14.9% in the third quarter increased 250 basis points from prior year pro forma EBIT on higher selling prices, higher sales volume and favorable mix. We are very pleased to report a 15% margin achievement for CFT this quarter, very much on track with our expectations of this business. We remain positive about the growth potential for the CFT segment, given our planned investment in new products, global expansion opportunities, new markets, improvements from the implementation of the Carlisle Operating System and ongoing integration activities. Please turn to Slide 9, as we review CBF's results for the quarter. Carlisle Brake & Friction sales declined 21% in the third quarter, reflecting a 5% decline due to currency fluctuations and a 16% sales volume decline. Demand for CBF off-highway products that serve the heavy equipment market were negatively impacted by the weakness in the global commodities market and slower growth in China. Sales into the agricultural market were down 16%, mining was down 24% and construction was down 29%. Consistent with the outlook of our major OEM customers, we are not anticipating recovery in these markets in the near-term. CBF's EBIT was significantly impacted by the double digit sales decline as well as the negative impact of foreign exchange. EBIT margin was just 0.007% in the quarter. Included in CBF's EBIT results was $1.1 million in severance expense. CBF continues to look for opportunities to add new business, as well as reduce operating costs throughout this downturn in its markets. Year-to-date, CBF has reduced its selling, general and administrative costs by approximately $7.5 million. Some of these reductions were generated by actions taken in the fourth quarter of last year. CBF has taken further cost reductions throughout the year and continues to evaluate additional actions. Turning to slide 10, Carlisle's FoodService segment sales increased 1% in the third quarter, as mid-single digit volume growth in the quarter was mostly offset by lower selling prices tied to rebates. Within CFS, sales of our traditional FoodService products increased 2%, reflecting healthy domestic sales growth, offset by lower selling price and lower international sales volume. CFS also grew sales in the janitorial/sanitation market by 5%, reflecting increased conversion at larger accounts. Healthcare sales were down 2%, reflecting competitive pricing pressures in this market segment. Overall, CFS third quarter results are an improvement from the first half of the year and we expect further sales growth in the upcoming quarter. CFS also achieved improvements to its EBIT margin in the third quarter. CFS EBIT margin increased 30 basis points to 12.4% from operating improvements and lower raw material costs. This concludes my review of our segment performance in the third quarter. Steve will now review our balance sheet, cash flow and working capital. Steve?
Steven J. Ford - Vice President & Chief Financial Officer: Thanks, Chris. Good morning. Please turn to Slide 11 of the presentation. At the end of the quarter, we had $354 million of cash on hand, an increase of $125 million from the end of the second quarter, reflecting the current quarter's strong cash flow generation. We continue to have all $600 million of availability under our credit facility, leaving us ample liquidity to further pursue our long-term growth objectives and continue to return capital to our shareholders. As Dave noted, during the first nine months of 2015, we returned $111 million to our shareholders in a combination of dividends and share repurchases. Our balance sheet remains strong. At September 30, our net debt to capital ratio was 14%. Our net debt to EBITDA ratio was 0.7 times. And our EBITDA to interest ratio was 17.5 times. Turning to Slide 12, our free cash flow from operations for the three months ended September 30 was $189.2 million compared to $65.1 million for the third quarter 2014, a $124.1 million improvement. This significant improvement is attributable to higher earnings, as well as $14 million in lower capital expenditures. Turning to Slide 13, our average working capital as a percentage of annualized sales for the third quarter 2015 was 18.3%, a 60 basis point increase from the 17.7% reported for the third quarter 2014, in part reflecting higher inventory at CCM. And with those remarks, I will turn the call back over to Dave.
David A. Roberts - Chairman & Chief Executive Officer: Thanks, Steve. Angie, that's the end of our prepared remarks. Would you open the floor for questions, please?
Operator: Certainly. Your first question comes from the line of Matt McConnell with RBC Capital Markets.
Matthew McConnell - RBC Capital Markets LLC: Thank you. Good morning, guys.
David A. Roberts - Chairman & Chief Executive Officer: Good morning, Matt.
Matthew McConnell - RBC Capital Markets LLC: So, you're certainly doing a good job on price in Construction Materials, down just 1%. Do you have a sense of what industry-wide pricing might have been? And what are your expectations for that as you get into some of the seasonally lighter quarters for construction?
David A. Roberts - Chairman & Chief Executive Officer: Yeah, Matt. I would think that the industry pricing is not much different than what we had as 1%. I think that we were very diligent in pricing to try to maintain pricing throughout the entire market. There may have been a little bit of degradation that went on in the other businesses, but I think we did what we wanted to do and not rollover and try to grow revenue, which we could have very easily done just by reducing price. So I don't think there was much price degradation in the industry itself.
Matthew McConnell - RBC Capital Markets LLC: Okay. Because I interpreted it as you didn't participate in some of the pricing concessions and that's why you under-grew the market, but you're saying that's not the case.
David A. Roberts - Chairman & Chief Executive Officer: No. What happened is that there were jobs that we could have easily have taken had we reduced our price. We elected not to do that. I think what that allowed the folks who were bidding on it not to take additional or to have additional price pressure. So I think they held some of their price at a reduced level from what ours was. But I think that they held some price as well. So I think, yes, it had an impact on revenue. I would have bet we would have grown probably 4% or 5% what the market grew, so we ended up giving up some market share. But I don't think everybody had a dramatic price reduction.
Matthew McConnell - RBC Capital Markets LLC: Okay, okay, great. Thanks. And so you suggested that you could be seeing a structurally higher margin in Construction Materials. I think over the past 10 or 15 years, it's been between 13% and 15% for a while. Any idea of what you believe that could be going forward?
David A. Roberts - Chairman & Chief Executive Officer: Well, I don't think it's going to be 20%. I mean, we had one heck of a quarter, but we're driving to get it above 15%. And at this point, will it end up at 16%, 17%, 18%? I'm not sure. It's only been one quarter. We'll see how the fourth quarter goes. We'll continue to be very disciplined in the fourth quarter as well, but the intent is, is to try to drive the industry margins higher.
Matthew McConnell - RBC Capital Markets LLC: Okay. Great. Thank you.
Operator: Your next question comes from the line of Joel Tiss with BMO Capital Markets.
Joel G. Tiss - BMO Capital Markets (United States): Hey, guys. How's it going?
David A. Roberts - Chairman & Chief Executive Officer: Morning, Joel. Good.
Joel G. Tiss - BMO Capital Markets (United States): That's good. I wonder if you could just give sort of a little more backdrop on the flow of business at CCM into the next couple of years, like what are the leading indicators besides non-residential construction spending?
David A. Roberts - Chairman & Chief Executive Officer: I think the one that Chris mentioned is energy. Energy has continued to drive our insulation business and, frankly, insulation is where we saw most of the price pressure. Membrane, we saw some price pressure in TPO, but I think insulation was probably the one that had the most price pressure in it. So we think that insulation will continue to grow. Certainly, the transition to TPO – and some of that coming from EPDM – will continue to grow, but it's all driven by reroofing projects and new construction.
Joel G. Tiss - BMO Capital Markets (United States): Okay. And can you give us a little sense of the size of the opportunity in the medical business for you and who the competitors are there?
David A. Roberts - Chairman & Chief Executive Officer: It's the usual competitors that we have in aerospace as well, the Tyco-ese, folks like that. We think the business certainly can be equal to what our aerospace business is, but it's going to take us a while to get there like it did with aerospace, but we think there's equal amount of revenue out there that we can capitalize on through new product development and acquisition.
Joel G. Tiss - BMO Capital Markets (United States): All right. Thank you very much.
David A. Roberts - Chairman & Chief Executive Officer: You're welcome.
Operator: Your next question comes from the line of Ivan Marcuse with KeyBanc Capital Markets.
Ivan M. Marcuse - KeyBanc Capital Markets, Inc.: Hi. Thanks for taking my questions. The first one that I have real quick is, you just mentioned it and if I missed it, I apologize, but do you see in terms of volumes or industry growth any differences between insulation, EPDM, TPO? Is one stronger than the other or weaker than the other because I know insulation has been, at least in terms of volume, has been a pretty strong performer over the past, I don't know, several quarters?
David A. Roberts - Chairman & Chief Executive Officer: Yeah. Insulation continues to be a very strong grower. It's probably growing at a rate slightly higher than TPO. Insulation then is followed by TPO, which is followed by EPDM. And we're seeing PVC also have very good growth rates as well.
Ivan M. Marcuse - KeyBanc Capital Markets, Inc.: Great. Thanks. And then moving over to wire or CIT. LHi put up an actually a pretty decent margin of 13%, a little bit better than I was expecting. I assume sort of the restructuring there is maybe going better than expected. Do you expect that to get sort of in line with the 20% or where do you see the, I guess, ceiling on where LHi could go? And then ultimately, how does that translate for total CIT margins on an annual basis and in the quarter?
David A. Roberts - Chairman & Chief Executive Officer: Yeah. LHi will certainly continue to have margin increases as we go through the next 12 to 18 months. Now, keep in mind, it's burdened by the goodwill or the intangible amortization that we have in the business. So we'll continue to have that pressure, but there is no reason if you add in the amortization cost, that it wouldn't be equal to or slightly above what the Aerospace business is.
Ivan M. Marcuse - KeyBanc Capital Markets, Inc.: Okay, great. Thanks for taking my questions.
David A. Roberts - Chairman & Chief Executive Officer: You're welcome.
Operator: Your next question comes from the line of Neil Frohnapple of Longbow Research.
Neil A. Frohnapple - Longbow Research LLC: Hi. Good morning, guys.
David A. Roberts - Chairman & Chief Executive Officer: Morning, Neil.
Neil A. Frohnapple - Longbow Research LLC: Just starting with CCM and just taking a step back, I mean, I know you guys called out maybe some temporary share loss in the quarter. And then obviously, you had a very difficult comparison to last year, but just based on your conversations with contractors and distributors, is it your sense that underlying demand within your commercial roofing markets is starting to slow or, I mean, do things seem pretty strong out there? And, I guess, I'm just trying to get at can we expect volumes to reaccelerate at some point, whether it's 2016 or in Q4?
David A. Roberts - Chairman & Chief Executive Officer: Oh, I think volumes will continue to grow, but keep in mind we've come off of a very strong 12-month or 18-month period. So, I think that we'll still see growth in Construction Materials. I'm not sure it's going to be at the 10% we were seeing I think it was late last year or so. But I think it's certainly going to grow in the mid-single digits over the – certainly the next couple of quarters. We haven't seen anything yet and all of our contractors and distributors remain very bullish on the market.
Neil A. Frohnapple - Longbow Research LLC: All right. That's helpful. And then, with the thinking that Brake & Friction segment has reached bottom, should we expect EBIT margins to remain in the low single digit range, excluding those severance charges you had in the quarter, until volumes recover at some point? Or are there still levers to pull at least to get margins back up to mid-single digits while waiting for the volumes to come back?
David A. Roberts - Chairman & Chief Executive Officer: Neil, I don't think you're going to see margins back at certainly the high single digits at this level of our sales volume. I think what we'll end up seeing is that margins are going to be in the mid-singles to maybe even a little bit lower than that. We just need volume in that business. And we said, I think, on last quarter's call, that to be able to take additional cost out means taking a factory out. And as we've looked at doing that, the cost to take a factory out is very, very expensive. And I don't think we'd get the return on it with any anticipated return in volume and we think it will eventually come back. Now, we'll continue to monitor it. And if gets to a point where we're not seeing any life at all in the market, we may have to go ahead and do that. But as of today, we'll reduce our variable costs and hold on to our fixed costs certainly over the next couple of quarters.
Neil A. Frohnapple - Longbow Research LLC: Great. That's helpful. And just one follow-up on Brake & Friction, I mean, you guys note that you think you've seen the bottom of the cycle. I mean, what gives you guys confidence that it doesn't take another step down from here? I mean, have you seen a stabilization in the order book or is it just we're getting to the point of irreducible minimums?
David A. Roberts - Chairman & Chief Executive Officer: We thought we were at the bottom a couple of quarters ago and we took this latest downturn. I think it's just anticipation of what's going to happen in the marketplace. It really can't go much lower than where it is. If you think about until the commodities recover, you aren't going to see a heck of a lot of new equipment be required. I think ag will turn faster than anything else. We would anticipate to see some life out of ag, perhaps mid-year, next year. But, I think construction and mining are still going to be in the dumps, primarily driven by international sales of equipment.
Neil A. Frohnapple - Longbow Research LLC: All right. Thanks a lot, guys, appreciate it.
Operator: Your next question comes from the line of Jim Giannakouros with Oppenheimer.
Jim Giannakouros - Oppenheimer & Co., Inc. (Broker): Good morning, guys.
David A. Roberts - Chairman & Chief Executive Officer: Hey, Jim.
Jim Giannakouros - Oppenheimer & Co., Inc. (Broker): Just a question on CFT, the margin progression and the outlook there is well understood. If you can give us a look into how you're thinking about near-term and I guess sustainable top-line growth there, understanding that your end markets are pretty diversified also by geography and that it can be lumpy, I guess to frame it, what markets excite you currently there? And where are the concerns? And where are you on new product intros and things that you can do internally that could drive growth there?
D. Christian Koch - President & Chief Operating Officer: Hey Jim, Chris. Couple of things there, there is a lot of excitement around a few opportunities. Let's just take the new products you mentioned first. We launched a couple of new products already. And I think that was something we pointed out during the acquisition that this team, this management team, did not stop working through the acquisition. And it's a real tribute to what they've been putting out. We had a new line of pumps called smart pumps that we've put into the automotive industry with great success. We have a new electrostatic gun that we're putting in the aerospace industry and other applications. It's being very well received. We've got some plural component equipment that was just released called the Gems Unit that has some very advanced features in the programming side. So, the new products are continuing to rollout. We will see the same type of investment. The R&D group, the sales group knows where the technology is headed. And they understand the value of that technology, that increasing the ROI at the end user. Two other areas for top-line growth, I think the first one is just in getting through the acquisition and getting the sales team focused. And we're making investments in the sales team with more feet on the street. You mentioned the global opportunities we're in in Asia-Pacific specifically with increasing investment. And we think there are certainly in the automotive industry OEM, there are some opportunities there to take share. So, those are two big kind of mediate-term. And then longer-term, we look at new market segments. We've talked about powder before. We've talked about foam. We've talked about sealants and adhesives. And we still consider those to be very good markets to target. And how we go about doing that, we're putting those plans together right now, and it could be through a combination of new product introductions. I would say some probably acquisition growth would be on the list as well. So, hopefully that gives you a feel for what we're doing there in top-line.
Jim Giannakouros - Oppenheimer & Co., Inc. (Broker): It does. Thank you. From an end market perspective, I mean, can you speak to what you're seeing in transport, auto, industrial, and sustainability of what you're seeing currently? I mean, you mentioned organic growth in transport and industrial. I would think that that's lumpy project activity, so just an overall recap of just from an end market perspective rather than from a product perspective.
D. Christian Koch - President & Chief Operating Officer: Yeah. I think on the automotive side, I think it's pretty well-publicized. You can see there is North American auto sales are up and at a pretty good level. I think the demand in the end market is important, but also remember, we're trying to take share and assert some technology play there with these new products. So for us, I would say the big gains in just standard product are more from replacement of existing product and gaining market share. And then you're absolutely right when it comes to new automotive demand, these are new paint lines in new factories and that is lumpy. On the industrial side, we all know the European story hasn't been as robust as we want. And then South America has seen some declines in Brazil in the markets, given the pull-back in commodities in China and what that's done to the markets down there. And then lastly, I think you see the Chinese economy is well-publicized, what's happening there. The growth rates aren't as robust as they were three or four years ago. We don't see, I think, that recovering this year.
Jim Giannakouros - Oppenheimer & Co., Inc. (Broker): Got it. Thank you for that. And one last one if I may, and I'm sorry if I missed it, but CapEx expectations for this year are, I think, again lowered by $10 million or so, what can we attribute that to?
David A. Roberts - Chairman & Chief Executive Officer: Nothing other than a couple of projects that we just can't get to this year. When we lay out our capital plans, there are a number projects that each of the businesses plan for and what happens is just a question of how much they can get to in a given year. That's the only thing. There has been no, I guess, planned reduction of capital spending. It has nothing to do with that. It's just trying to get to the projects that we had.
Jim Giannakouros - Oppenheimer & Co., Inc. (Broker): Thank you.
David A. Roberts - Chairman & Chief Executive Officer: You're welcome.
Operator: Your next question comes from the line of Tim Wojs with Baird.
Tim R. Wojs - Robert W. Baird & Co., Inc. (Broker): Hey, guys, good morning.
David A. Roberts - Chairman & Chief Executive Officer: Morning, Tim.
Tim R. Wojs - Robert W. Baird & Co., Inc. (Broker): Back to CFT, I was just curious of the 250 basis points of pro forma year-over-year improvement, I mean, how much of that was just mix and pricing versus some of the operational things you can do with Carlisle Operating System over the next couple of years?
D. Christian Koch - President & Chief Operating Officer: Right now, it was mostly volume and mix, I would say, and more volume. Carlisle Operating System is getting underway. We are seeing good growth in the return in the Carlisle Operating System, but they're just getting started. And that process for us, it's a blitz approach, and it generally takes a couple of months to get going. We've seen it used at Brake & Friction when we bought that business. We've seen it used at LHi and in other areas with CIT very successfully. So we would see that increasing over the next few years our return. The people will get fully trained. They'll get used to the system. The projects tend to build on themselves. And as we do more projects, we tend to be better and better at identifying and executing on those projects. So I'd see nice gains going forward and I don't really think with COS there's ever an end to that opportunity. I think it just builds on itself. And so hopefully, we see that what we've seen in the past in other divisions continue in CFT for the next few years.
Tim R. Wojs - Robert W. Baird & Co., Inc. (Broker): Okay. Okay. Thanks. And then just, Dave, maybe just an update on how the M&A pipeline looks, whether that's Interconnect or maybe some of the build that you're seeing on the fluid side?
David A. Roberts - Chairman & Chief Executive Officer: Yeah, we continue to move forward – or to look, I guess – for opportunities in CIT. We're really just building a portfolio of potential candidates for CFT. We have a general idea of some of the types of businesses that we would like to acquire, but it's now a matter of putting together a portfolio, making contact, so on and so forth. So I think that one is a little further out. I don't think you'll see any acquisitions there. Frankly, the pipeline today, there's nothing that's real active in it. I don't think you'll see us making an acquisition in the fourth quarter, but I would hope that as we get into 2016 early on in the year, you'd see something develop.
Tim R. Wojs - Robert W. Baird & Co., Inc. (Broker): Great. That's all I have. Good luck.
David A. Roberts - Chairman & Chief Executive Officer: All right. Thanks, Tim.
Operator: At this time, there are no further questions.
David A. Roberts - Chairman & Chief Executive Officer: Angie, thank you. All right, as we get ready to close the call, we'd asked everyone to turn to Slide 15. As I said at the end of our second quarter conference call, we expect growth in each of our segments, except CBF, and that continues to be the case in the fourth quarter. The news released recently by one of our largest CBF equipment manufacturing customers is indicative of the outlook we're anticipating for the braking business. Our customers continue to tell us that the sales of off-road heavy equipment will continue to be challenged through the remainder of 2015 and into 2016. While we've reduced our SG&A spending at CBF this year by nearly $10 million on an annualized basis, we'll be looking for additional cost savings because we can't reduce our way to prosperity. We need volume. Without volume increases, the next 12 months will be a tough row to hoe for the CBF guys. Fortunately, CBF only represents 8% of our total company sales. Looking ahead to the fourth quarter, I would anticipate CBF's results to be very similar to our performance in the third quarter. The outlook for CCM is good for the fourth quarter. I expect to see modest sales growth and continued strong profit growth as we remain price disciplined. We see that this is a fight to improve industry margins for years to come and we will be disciplined with our pricing actions in the fourth quarter, as we were in the third quarter. CIT is expected to see mid-single digit sales growth. For the fourth quarter, earnings growth could slow a bit, as we had a favorable mix in the third quarter and as we get ready to move into our new manufacturing facility that Chris mentioned, in Dongguan, China. Our medical volume has been growing at a rate that cannot be supported by our existing Shenzhen facility. The total expense to move into the new buildings is expected to be $3 million, with approximately $1 million of that spent in the fourth quarter. As a reminder, starting in the fourth quarter, LHi will no longer be reported as acquired growth. We completed that acquisition on October 1, 2014. So LHi's sales from this point forward would be organic growth. CFT should grow close to 10% sequentially in the fourth quarter. Earnings should also be commensurate with our sales growth. FoodService should grow again in the fourth quarter. In fact, we're expecting it to grow slightly more than it did in the third quarter. EBIT dollars should be similar to what they were in the fourth quarter of 2014, as we have start-up and training costs associated with new products that are being introduced in the fourth quarter. As we wrap up 2015 in the fourth quarter, we expect total company organic sales to grow low to mid-single digits for the year. We will see growth in both EBIT and EBIT margins and expect them to remain on record pace. Corporate expenses will be approximately $59 million for the full year. D&A will be approximately $127 million. And capital expenditures will between $70 million and $80 million, which is a reduction from what we forecast at the end of the second quarter. Free cash flow conversion is expected to be above 110% for the year. And we expect to return our excess cash to shareholders through dividends and share repurchases at a rate similar to what we did in the third quarter. Interest expense will be approximately $34 million and the planned tax rate will be between 32% and 33%. With record results through the first three quarters in the book and the strong results expected in the fourth quarter, 2015 should end with record sales and record earnings. This brings our call to a close. I want to thank everyone for attending our third quarter 2015 conference call and look forward to reviewing our year-end performance with you early in February. Angie, you may now end the call.